Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Natural Resource Partners LP fourth quarter 2020 earnings conference call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question and answer session. To ask a question during this session, you will need to press star, one on your telephone. If you require any further assistance, please press star, zero. I would now like to hand the conference over to your speaker today, Tiffany Sammis, Manager of Investor Relations. Thank you, please go ahead.
Tiffany Sammis: Good morning and welcome to the Natural Resource Partners fourth quarter 2020 conference call. Today’s call is being webcast, and a replay will be available on our website. 
Craig Nunez: Thank you, Tiffany, and good morning all. NRP continues to operate under CDC guidelines, government-imposed rules, and company remote work protocols. Our employees are safe, and the partnership is conducting business as usual. The rebound in demand for steel, glass, and electricity that began in the third quarter of last year continued into the fourth quarter, and the outlook for our coal and soda ash businesses continues to improve. While the ongoing battle against the COVID-19 pandemic makes it difficult to forecast with a high degree of confidence, we see signs that our business lines could return to pre-pandemic levels during this year. We continue to generate free cash flow and maintain strong liquidity and plan to continue executing on our multi-year strategy to de-lever and de-risk the partnership in spite of the challenges presented by the pandemic. We generated $89 million of free cash flow over the last 12 months and paid off $46 million of debt. We earned a consolidated return on capital employed before non-cash impairments of more than 9% with the coal segment coming in at almost 13% and our soda ash investment earning 4%.  Our cash flow cushion, which is the free cash flow remaining after paying our private placement debt amortizations and distributions on our common and preferred units was slightly negative during the period. We ended the quarter with $200 million of liquidity, consisting of $100 million of cash and $100 million of unused borrowing capacity. 
Chris Zolas: Thank you, Craig, and good morning everyone. During the fourth quarter 2020, we generated $13 million of operating cash flow and $15 million of net income from continuing operations. Our coal royalty and other segment generated $34 million of operating cash flow and $22 million of net income from continuing operations in this period.  Our Q4 results were lower as compared with the prior year quarter, primarily due to the COVID-19 pandemic’s impact on the global economy that lowered demand for steel and weakened the market for metallurgical coal. Both sales volumes and prices for our metallurgical coal that was sold by our lessees were lower in the fourth quarter of 2020 compared to the prior year quarter. In terms of our coal royalty sales mix, metallurgical coal made up approximately 50% of our total coal royalty sales volumes and approximately 60% of our coal royalty revenue during the fourth quarter of 2020. In addition, weaker domestic and export thermal coal markets resulted in lower revenue from our thermal coal properties compared to the prior year quarter. Domestic and export thermal coal markets remain challenged by lower utility demand due primarily to continued low natural gas prices, the secular shift to renewable energy, and the COVID-19 pandemic. 
Craig Nunez: Thank you, Operator. I’d like to thank everyone for your participation today and for your support of NRP over the last year and look forward to working with you as we go forward into 2021. With that, have a good day and stay safe.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.